Operator: Good morning all, and thank you for joining us on today's PZ Cussons full year results. My name is Drew, and I'll be the operator on the call today. [Operator Instructions] With that, it's my pleasure to hand over to Jonathan Myers to begin. Please go ahead when you're ready.
Jonathan Myers: Thank you very much, Drew, and good morning, everyone, and thank you for dialing into our results presentation for the year ended 31st of May 2025. For those of you that can see the slides we're presenting this morning, it's worth calling out a successful example of our brand-building activities in the last year on the slide in front of you. Original Source advertising on a London bus as part of our Nature Hits Different campaign. I'll have some more detail on this later, but suffice to say for now that the activity helped deliver another year of growth for the brand in FY '25. Turning to the agenda then for this morning. I will start with a brief introduction before handing over to Sarah to take us through a review of the financials. I'll then provide a broader update on strategic progress and performance before moving to a summary and a chance for you to ask any questions. Note on this slide too, an example of how we've been building brands over the past year. This one, driving trial of Cussons Baby, specifically the Telon oil launched last year as shoppers browse a specialist baby store in Jakarta. Our Telon oil has now reached 10% household penetration in urban Indonesia and is growing market share. So moving to our main messages for this morning. We are making progress against our strategy. Our 4 priority markets delivered a strong performance. We have good momentum in the core of our business. The U.K. delivered a strong improvement in profitability, fueled by revenue growth and gross margin expansion. Indonesia ended the year with its fifth consecutive quarter of revenue growth with a healthy mix of high single-digit revenue and volume growth for the year. We continue to gain market share in Australia on each of our top 3 brands and grew operating profit overall, but we were still battling against the softer consumer backdrop holding back our revenue. Finally, our Nigerian business demonstrated its resilience, continuing to perform well in a high inflation environment. Meanwhile, we have also made progress pushing change through the business, strengthening our brand building capabilities, driving better integration of our marketing and R&D teams and extending our planning horizons to enable greater focus on sufficiency and quality of our multiyear innovation plans. Since the close of our financial year, we announced the sale of 50% stake in PZ Wilmar to our joint venture partner, Wilmar International, in line with the objectives of the strategic review we announced in April 2024 to streamline and simplify our portfolio. It was also after careful consideration of alternative value creation options that we announced the decision to retain St. Tropez, setting a new strategic direction with a new partner in the U.S. and a dedicated operating model within PZ to delivery. While I appreciate you will naturally have questions on our wider African business, all I'm able to say today is that we are continuing to progress our strategic review and will, of course, provide an update when we do have something to say. Finally, we are working hard on reducing costs and unlocking value in the business, whether that's through reducing discretionary spend, tacking our structural cost base or the sale of surplus nonoperating assets. I'll cover more on this later. So overall, we know there is more work to be done and that we have not yet delivered all that we set out to achieve, but there has been good progress to date, particularly the underlying momentum in the core of the business. And we are focused on delivering our strategic actions and operational improvements to evolve PZ Cussons into a business with a more focused portfolio and stronger brands, delivering sustainable, profitable growth. And with that, I'll hand over to Sarah to take us through the financials.
Sarah Pollard: Thanks, Jonathan, and good morning, everyone. I'm going to share a summary of our FY '25 full year results, walk you through the key movements at the group level, then by segment and finish with current trading and guidance for the year ahead. As Jonathan mentioned, we've seen momentum across most of our portfolio, with a particularly strong performance in the U.K. and Indonesia. Group revenue declined by GBP 14 million to GBP 514 million, with a GBP 47 million reduction attributable to the naira, which while more stable in FY '25, was nearly 40% weaker on average versus sterling than in FY '24. Like-for-like revenue growth calculated on a constant currency basis was 8%, driven by pricing in Nigeria. Excluding Africa, like-for-like revenue growth was flat. Adjusted operating profit was GBP 55 million, down 6%, with adjusted operating profit margin lower by 30 basis points at 10.7%. However, as you can see from the bottom of the slide, excluding from each year's figures, the contribution of PZ Wilmar, the sale of which we announced in June, group adjusted operating profit margin would have increased by 30 basis points. On a statutory basis, operating profit was GBP 21 million compared to a loss of GBP 84 million in FY '24, which was primarily attributable to ForEx translation and U.S. dollar-denominated liability losses in our Nigerian subsidiaries following the currency devaluation of June 2023. And we have since significantly reduced our exposure to any future naira shocks as we have made good progress in extinguishing historical liabilities and repatriating surplus cash. We maintained a flat net interest charge in the year. With a higher adjusted effective tax rate more indicative of the higher rate going forward, adjusted FY '25 earnings per share declined ahead of operating profit, down 8.5%. The Board is proposing a final dividend of 2.1p per share, taking the total for the year to 3.6p, the same level as the prior year. Free cash flow was GBP 42 million, up slightly due to an improvement in working capital, partially offset by the reduction in operating profit. Net debt improved slightly to GBP 112 million with a net debt-to-EBITDA ratio of 1.7x. However, taking into account the proceeds from the sale of our Wilmar joint venture, which is expected to complete in the final quarter of calendar 2025, our pro forma ratio would have been 1.1x. Turning now to the financial performance details and firstly, revenue. To aid comparability, the first bar shows the impact of adjusting for FX translation, presenting FY '24 revenues at FY '25 exchange rates. The breakdown of the adverse GBP 55 million impact is, as usual, provided in the appendix. On this like-for-like currency basis, revenue increased 8% in the U.K. and Indonesia. And Jonathan will come on to the brand drivers of that revenue growth later. We again took pricing in Africa with multiple increases throughout the year to offset double-digit inflation in Nigeria. Jonathan will also outline the steps we're taking to turn around St. Tropez brand. Now to operating profit. As I mentioned, our overall adjusted operating profit margin decreased by 30 basis points to 10.7%. We've shown this chart excluding Wilmar, given this represents the more accurate basis for future profitability, lower in absolute sterling terms, but more cash-light and sustainable in nature versus an equity accounted share in a noncore, lower-margin joint venture. On a constant currency basis, group gross profit margin was lower in the year, reflecting the adverse mix impact of strong revenue growth in Nigeria, where gross margins are structurally lower. This was more than offset by a 220 basis point reduction in overheads. Around half of this represents structural cash savings relevant to our go-forward business. Also included within this number is a reduction in amortization to reflect the business decision to extend the useful economic life of our SAP software now that the manufacturer support period will run for longer, allowing us to extract a higher return from that IT asset. Marketing investment was broadly unchanged as a percentage of revenue, while the impact of ForEx translation had an overall adverse 70 basis point impact on margins. So let me now provide some more detail on the performance in each of our regional reporting segments. Looking first in Europe and Americas, where we saw growth in both like-for-like revenue and operating profit. Revenue grew 0.6%, driven by price/mix growth and with a very small overall volume decline. Growth in our main U.K. brands was offset by a challenging St. Tropez performance, without which Europe and Americas revenue growth would have been 2.4%. Adjusted operating profit was up GBP 4 million, with a margin increase of 230 basis points, driven by tight cost control and the full year impact of the integration of the U.K. Personal Care and Beauty businesses as well as ongoing revenue growth management and product margin improvement initiatives. This more than offset the GBP 3 million impact from the introduction in the U.K. of extended producer responsibility plans and new costs, which we will seek to mitigate over time through, among other things, a review of our entire packaging portfolio. Turning now to Asia Pac, where like-for-like revenue was flat. Continued momentum in Indonesia was offset by a decline in ANZ. All our core Cussons Baby segments drove volume-led growth in Indonesia, and ANZ saw market share gains in all 3 major brands despite the softer macro environment there. Both markets improved their profitability with higher gross margins and lower overheads. This, though, was offset by a reduction in profitability in some small Asian markets and lower profits in our business manufacturing non-branded [indiscernible]. Overall, adjusted operating profit reduced by GBP 3 million with a margin decline of 150 basis points. Revenue in Africa declined by 7% due to the depreciation of the naira. The 35% like-for-like revenue growth reflects 20 rounds of price increases as inflation in Nigeria remained elevated at over 30% for much of the year. Whilst volumes declined 12% as a result of those price increases, this was mitigated somewhat by further route-to-market improvements that Jonathan will describe later. We've seen our Nigerian business return to volume as well as price-led revenue growth so far this FY '26 financial year. Electricals revenue was GBP 47 million, up over 30% on a like-for-like basis. Adjusted Africa operating profit margin improved by 250 basis points or excluding PZ Wilmar, it improved by 450 basis points. The operating profit numbers shown here are excluding a GBP 9 million benefit that the Africa region reported in FY '24 related to intragroup debt forgiveness, the cost of which was shown in last year's central cost line and which had a net 0 impact to overall group operating profit. And I noted to explain that the Africa segmental results presented here are both comparable year-on-year and representative of underlying operations. So finally then, our central cost line, which equated to GBP 30.5 million in FY '25 and which was, on a reported basis, down slightly versus FY '24. However, we have also made the corresponding Nigerian debt forgiveness adjustment here to ensure comparability. And as such, central costs increased GBP 6.8 million in FY '25. This was split between underlying cost increases and investments in group-wide capabilities attributable to the performance of business units, but best housed at the corporate center for maximum return and so reported them. For example, the shifting of some marketing and some R&D roles to sit central. As we'll come on to, we see this number falling considerably over the next 12 months given the cost savings we're announcing today. So moving now to cash flow and net debt. Total free cash flow was GBP 42.3 million compared to GBP 41.6 million in the prior year, reflecting an improvement in working capital, offset by lower profits. Net debt was GBP 112 million compared to GBP 115.3 million last year, representing a net debt-to-EBITDA ratio of 1.7x, which, as mentioned earlier, will then see a significant reduction following the completion of the Wilmar sale. The group also continues to have no surplus cash held in Nigeria following our successful repatriation efforts. As we said in the statement this morning, trading year-to-date has been in line with our expectations. Group like-for-like revenue to the end of September is expected to be up around 10%. Strong revenue growth in Asia Pac is made up of Indonesia posting its sixth consecutive quarter of growth, plus ANZ also being up. Africa is showing encouraging volume momentum. Europe and Americas is down 2% or up 2%, excluding St. Tropez. We expect Europe and Americas to continue to strengthen across October and November, which would see us back to overall revenue growth there in half 1. In terms of profit guidance, we expect group adjusted operating profit to be between GBP 48 million and GBP 53 million. And this figure strips out any contribution from Wilmar, which is now treated as an asset held for sale in accounting terms. And so its profit contribution in FY '26 will be reported as part of the disposal calculations. Captured within the guidance are cost savings of between GBP 5 million and GBP 10 million, some of which will be reinvested in the business, subject to clear return criteria. Finally, net debt will fall significantly in FY '26 to less than 1x EBITDA. We expect cash proceeds of between GBP 15 million and GBP 20 million from the ongoing program to sell surplus nonoperating assets, of which we have received GBP 8 million so far this current financial year. We're expecting to receive proceeds of approximately GBP 47 million before the end of the calendar year from the sale of our Wilmar joint venture. Jonathan will talk a little more about the cost savings and noncore asset sale proceeds in a little detail. And so with that, I'll now hand back to him.
Jonathan Myers: Thanks, Sarah. So let me give a broader update on progress and performance framed around the highlights and messages I covered at the beginning of the presentation. And let's start with the U.K. and what was behind the strong operating profit that I mentioned earlier. Beyond the cost savings Sarah talked about, a key driver of the revenue performance has been better commercial and brand building activities. Taking Original Source as an example, we delivered a bold marketing campaign from February through to May, firmly targeting younger consumers with an optimized mix of social media, out-of-home and TV, leveraging our partnership with social media influencer and personality, Jamie Laing. This is a good example of how we are enabling more competitive brand activation with the GBP 2 million media campaign reaching more than 15 million people. Pickup in brand awareness meant Original Source not only achieved its highest household penetration in almost 5 years, but thanks to considered price and promotional optimization as well, the brand also grew gross margin. Based on the success of the first wave of Nature Hits Different campaign, look out for the next wave of activity on Original Source over the next couple of months, a good example of us prioritizing brand support against activities with proven return on investment. Another way of driving revenue on our brands is to work in partnership with the owners of other brands to engage common target consumers and drive in-store activation. Six months ago, we highlighted the success of Carex and its Gruffalo partnership, which we have since expanded to Zog and Room on the Broom. Notably, Carex grew revenue and gross margin in FY '25, consolidating its #1 position in the hand wash market. We've also extended this type of brand partnership to Childs Farm to include a tie-up with Bluey and BBC Studios. Now if you don't have young kids or don't know Bluey, it's one of the most popular TV shows in the world for children and is enabling us to secure disproportionate levels of support across retail outlets. Just take a look at this tie-up with Bluey and Kellogg's at Sainsbury's as evidence. So we've seen encouraging FY '25 performance in the U.K., and we look forward to more to come, not least our plans for Christmas gifting, which is starting to hit the shelves this very month. Turning to Indonesia and Cussons Baby. You may remember the Childs Farm SlumberTime product range launch, addressing the importance of reassuring parents that their washing and baby products are giving their babies the best possible chance of a good night sleep for the wellbeing of both the baby and their parents. The CuddleCalm range takes the consumer insights and product formulation learnings from Childs Farm and applies them to Cussons Baby, albeit in a very different context. It's a good example of us leveraging shared baby insights across geographies and brands as we have sought to create a more integrated marketing and R&D organization. Elsewhere in our Indonesian business, we continue to see phenomenal growth in e-commerce, whether that's through established platforms such as Shopee or the ongoing success of our own live streaming capability. Turning to our business in Australia and New Zealand, where we continue to see softness in category values through the year, though reassuringly, we've seen the first signs of amelioration in the latest quarter. Against that backdrop, we continue to make market share gains on our top 3 brands, thanks to renewed efforts to drive better in-store presence, competitive pricing and promotion and broader distribution across retail channels. The Morning Fresh photo on the right-hand side is an example of those efforts. We are already the clear market leader in washing up liquid, and we are leveraging this strong position and our brand equity for winning performance and great value to help grow market share in the auto dish category. We've been using net hangers on bottles of Morning Fresh liquid to drive awareness and then offering hundreds of thousands of samples of auto dish tablets to drive trial. While auto dish is a highly competitive category, our position of strength in the washing up liquid market gives us a clear competitive advantage to leverage as we seek to build trial, distribution and market share. Turning to Nigeria. Perhaps the best example of brand activation was the recent relaunch of Carex. Carex has been available in Nigeria for some time, but has always been subscale as the product positioning has largely been taken from the U.K. Thanks to good work with Nigerian consumers, our campaign Win the War Against Germs means the brand now looks and feels new and relevant with clear antibacterial positioning, distinct brand assets, bold disruptive messaging and benefiting from professional endorsement. Just like the Original Source example I gave earlier, the execution was a multifaceted campaign: Digital, TV, out-of-home advertising and a series of in-person launch events. In fact, we estimate the campaign reached 125 million people. It's early days, but signs so far are promising. Carex will absolutely be one of the drivers of Nigeria's performance in FY '26. Beyond the excellent work on Carex, we have continued to strengthen our go-to-market presence. A key part of this, as we've mentioned before, has been the number of stores served directly by us as opposed to via wholesalers. Simply put, covering the stores directly leads to better retailer relationships and in-store presence as we can directly influence which products turn up in which types of outfit. From covering just under 70,000 stores directly 3 years ago, we exceeded our target of reaching 200,000 in FY '25, and we're now striving for even more stores in direct coverage in FY '26. A driving force in how we are seeking to serve consumers better in our core categories is the strengthened brand building operating model we have adopted over the past year as the next phase in the journey to raise the bar on how effectively and consistently we build stronger brands. Many of you will remember where we started, strong brands with good tactical plans, but more of a trading mindset and limited cohesion across the portfolio. We moved on from that in recent years, creating better alignment across the group and strengthening in-year plans. But we know there's more to do. So we now have put in place a brand-building setup, which balances staying close to consumers in our priority markets, whilst leveraging more effective integration and collaboration across both markets, meaning improved visibility of multiyear innovation and revenue growth plans in our priority market. Ultimately, we are building on our strength of in-year activation to add excellent multiyear innovation. Not only is this good for our consumers, it's also good for our marketing teams. We've seen a 7 percentage point improvement in engagement scores for the marketing function across the group. Ultimately, though, success will be measured in sustained progress on market share, revenue and profitability. Moving to portfolio transformation. In June, we announced the sale of our 50% stake in PZ Wilmar, our Nigerian cooking oils business to Wilmar International, our joint venture partner, for cash consideration of $70 million. This will simplify our portfolio and as Sarah said, significantly strengthen our balance sheet. It sees us exit a noncore category and reduce group reliance on Nigeria as part of our overall efforts to rebalance the portfolio and concentrate on our core categories of hygiene, beauty and baby. The sale also benefits a number of our wider sustainability metrics as PZ Wilmar represents around 10% of our Scope 3 inventory. Turning now to St. Tropez. As we explained back in June, although our intention was to sell the brand, after running a comprehensive process to do so, our firm belief is that the better course of action for our shareholders is to retain it and maximize value in the coming years. There are 3 reasons which give us the confidence. First, it's important to remember that whilst it's had a challenging performance recently, St. Tropez is regarded as an iconic brand. It established the self-tan category and has for many years been the driving force behind the market. It still has great brand equity and awareness with more than 30% share of the [indiscernible] self-tan beauty market in the U.S. and envy positions on the shelves of key U.S. beauty retailers such as Ulta and Sephora. Second, the key tenet of the new direction is the partnership we have formed with the Emerson Group, a leading U.S.-based partner to many brand owners, including some of the world's largest personal care and beauty businesses. They will provide customer management, logistics services and brand activation in the U.S. St. Tropez will be integrated into Emerson's dedicated selling teams to key U.S. retailers with initial meetings having already taken place. Not only does this partnership give us access to a strong go-to-market operator in the U.S. with significant scale and expertise, it also dramatically simplifies our own operating model. We no longer have a need for our own team on the ground nor the expense of a dedicated office in Manhattan. Next, for the U.S., our St. Tropez model is better, simpler and more cost effective. Finally, we have also appointed a new executive with significant experience of the beauty category, not least from many years spent at L'Oréal to lead the St. Tropez business with a single-minded focus on value creation and a dedicated team coming together beneath him. Looking ahead, therefore, we're busy with the innovation plans for the 2026 season and working on celebrating the 30th anniversary of the launch of St. Tropez next year. So lots more to come on St. Tropez. Moving now to the final slide before summing up. As Sarah touched on earlier, we have made progress driving cost efficiencies and identifying opportunities to unlock further pockets of value, all of which will help to fund future growth. To that end, we have announced this morning that we expect to generate GBP 5 million to GBP 10 million of cost savings in FY '26. It's a big number at the top end of the range, but we're hard at work to deliver it. We've already developed a track record and a playbook to do this with a GBP 3 million savings in the U.K. business as Sarah mentioned, removing duplicated structures and operating expense. But more importantly, the organization is increasingly building a mindset of ongoing cost optimization, sometimes through significant structural interventions driven by changes in operating model, but also through the relentless and rigorous pursuit of grinding out the inefficiencies that consumers do not value and should not be expected to pay for. Whether that's saving on the retendering of label production in the U.K., the shifting of surfactant suppliers for our Nigerian business or sourcing a different enzyme for our Radiant laundry brand in Australia. We're also unlocking value from noncore or nonoperating assets, mostly in Asia and Africa. These range from high-end residential property in Ghana and undeveloped land in Indonesia to empty warehouses in Nigeria that are no longer required by the business and pretty much everything in between. The market value of these assets is significant, and we estimate that after fees and taxes, we should generate net cash proceeds of around GBP 30 million from those disposals, the majority of which will complete during this financial year. Common across all the activities shown on this slide is a single-minded pursuit of simplification, whether processes, operations or portfolio and as a result, unlocking value. In summary, while there's a lot going on at PZ and still much more to do to deliver, I want to be really clear that our day-to-day focus is on continuing to drive the underlying business across our priority markets. We're building stronger brands in our core categories, and we're driving more competitive go-to-market execution in our largest markets. The combination of which means we can get more PZ products into the homes and hands of more consumers. So with that, enough of us and a chance for you to let us know what are your questions.
Operator: [Operator Instructions] Our first question today comes from Sahill Shan from Singer Capital Markets.
Sahill Shan: Forgive me, I'm fairly new to the story, but I've got a couple of questions, if that's okay. Firstly, just on the St. Tropez brand. You've retained it and outlined a new U.S.-focused strategy with Emerson. I suppose my question is what internal KPIs or milestones are you using to evaluate success? And how quickly should investors expect signs of recovery in the brand's P&L contribution? So that's my first question. And the second one is around capital allocation. I think with the Wilmar proceeds and asset disposals, it looks like expected to significantly reduce net debt this year. How are you thinking about capital deployment priorities going forward around reinvestment, M&A or maybe returning capital back to shareholders?
Jonathan Myers: So why don't I take the first of those questions relating to St. Tropez and I'll pass over to Sarah on capital allocation. So you're absolutely right. After a very considered process, we took the call to retain the brand because we saw more potential to create future value in doing so than in selling it. We're very clear as we did that, what are the strengths and what are the challenges that we need to address. And the most broken, if I can use that phrase, part of the business was in North America where we had seen double-digit declines. And it's for that reason, we have taken the most dramatic action of any part of the business model in North America effectively to adopt a new route-to-market partner and one who is very, very qualified because they're already operating with the likes of Ulta and Sephora as well as more mainstream retailers in driving both personal care but also high-end beauty care. So that's a sign of confidence for us that we are putting our business in the hands of a proven partner, one who we've known previously, by the way, through work together on Childs Farm. So as we look to the future, ultimately, the most important measure will be value creation. And that is indeed how we have structured our thinking and also our incentivization as we look at the team that will be leading that business. But obviously, what really matters will be driving growth in market share, growth in in-store distribution because ultimately it is a brand that wins in-store and online, but with sufficient social media activation and influencer support. And as that goes through perhaps 1 or 2 seasons, so coming to your question on how long, it's a very seasonal business. The summer is all important or late spring into summer is all important. So we are working hard for summer of '26, but we're also trying to make sure we get ahead of the game for the summer of '27. So I would be expecting to report to you improved momentum as we exit next season, but more importantly, the season after once we have a longer lead time to really address some of the more fundamental opportunities and challenges we see with the brand. But we're very hopeful and confident that we will see that improvement in value creation. Over to you, Sarah?
Sarah Pollard: Thanks, Jonathan. Let me touch on the capital allocation point. So you're absolutely right to say we were very clear that the first use of any cash proceeds from the portfolio transformation would be to reduce our level of debt. It takes us for FY '25 to a pro forma leverage ratio of 1.1x and then with further surplus asset disposals and ongoing cash generation in FY '26, south of 1x. And that we see very much within our target range and a level of leverage we feel comfortable with. Then in terms of our broader use of capital, it's first and foremost to drive the organic growth of the business. And of course, as a brand-building organization, that is behind R&D investments, behind marketing campaigns to drive our brands and also CapEx, both to give us more capacity to grow volume, also automation to make sure our product margins remain very competitive. So first and foremost, we see the highest return on our capital being in driving the organic growth of the business. We also are retaining sufficient capital to support a sustainable level of dividend. We don't have a stated policy, but internally, we think a little bit around a targeted cover of 2x and that growing in line with earnings going forward. And then in the surplus capital, I think you can see us putting towards bolt-on M&A if we see opportunities that both sit very neatly within our core markets and our core categories or indeed the opportunity to acquire some additional capabilities, be that digital, and Childs Farm is our last such example in March 2022. And you should think about Childs Farm as being an example of something we might do again when the time is right. And I think we would say all of those things we consider to take precedence over surplus returns because we can do it. We believe we can deliver more return by deploying the capital internally.
Sahill Shan: Super. That's really helpful. Just one final one for me. It would be really appreciated. Post these results, it would be good to catch up. Could you get the relevant IR person on your side to reach out to me, and we can take it from there.
Operator: Our next question comes from Matthew Webb from Investec.
Matthew Webb: I appreciate you've touched on this already, but I wonder if you could just provide a bit more detail on where the GBP 5 million to GBP 10 million of targeted savings are coming from. Jonathan, I think you sort of mentioned that GBP 10 million is quite a big number at the top end, and I would agree with that. So anything that could bring that to life would be very helpful. And then maybe also where your priorities are in terms of reinvesting a portion of those savings? That's the first question. Second question on the EPR. I mean, I infer from the way that you've talked about that, that you've really absorbed that GBP 3 million. I just wondered whether that's correct, whether there were any sort of discussions with your customers about passing that on, at least in part. And then also, I know you mentioned that this had prompted a review of your approach to packaging. And without sort of prejudging that review, I just wonder whether you could give any examples of some of the things you might consider there. And then the third question is just on Indonesia, where obviously, I appreciate your trading has been very strong. So probably the answer is no. But I just wondered whether you'd seen any impact from the recent political unrest in that country.
Jonathan Myers: Right. So three good questions, Matthew. Sarah is going to be number one, and I'll come in with the EPR and the Indonesia response for you.
Sarah Pollard: So Matthew, let me try and unpack that GBP 5 million to GBP 10 million a little bit. And as Jonathan mentioned, we're establishing a better understanding of where -- if you like, there might be opportunity in our overhead cost base as well as the muscle that we think we very definitely built in terms of optimizing product costs, having in FY '25 integrated our legacy U.K. Personal Care and Beauty businesses. So I think in terms of where we sit today on top of that historical overhead work is recognizing that we inherited a business that needed to unashamedly invest behind capabilities. And they were both commercial to drive the business, but they were also, if I use the word corporate, to meet the PLC bar to make sure we are doing things in the right way. And we have shown both good hard and soft benefits from those investments over the last 3 to 4 years. And we recognize we're in a position now where we can afford to maybe unpick some of those capabilities. So we have quite a strong corporate cost base. And in some of the enabling functions, most notably very close to home and finance, perhaps in HR and IT, we've now reached a level of capability that we think is sufficient. So we have been looking at some of the capabilities we can take away there. That GBP 5 million or GBP 10 million, we've got a good line of sight to the GBP 5 million. We're working on the additional GBP 5 million. It's probably split 2/3 people from increasing spans of control from internal promotions rather than external hires and yes, the net reduction in overall headcount. And then 1/3 is more, if you like, a little bit more tactial, be it the use of consultants, managing travel and expenses and just good continuous improvement and being very cost conscious. So some central capabilities on which we think we now no longer generate a level of return, 2/3 people, 1/3 on [indiscernible].
Jonathan Myers: So if I pick up on the EPR question, then I'll come on to Indonesia, Matthew. So first of all, on EPR, I would say we, along with other manufacturers, have been getting our heads around the implications of this tax. And we're one of the first to report just as the nature of our financial year-end, and we'll be all keenly looking to see what other people are saying as they report in the coming months as well. But I would say exactly as you've identified, really, there are 2 levers that we can pull as we try to deal with what is effectively a new cost in our cost structure. The first is absolutely as part of a broader revenue growth management effort, always looking at our ongoing optimization of pricing and promotion. And sometimes that is tweaking our promotional activity where you nudge up the price per liter or the price per pack. And other times, that can be literally straightforward price increases that we are communicating to retailers and working with them as they choose how much or little of those increases they want to reflect on [indiscernible]. And so that has clearly been one lever that we have been pulling, and we will continue to look at that over time. But also over time, particularly as we learn more about the exact drivers of the EPR tax and how it is applied is how we can optimize our packaging across our portfolio, be that primary packaging or secondary packaging to literally reduce the weight or volume that we are using. And so for example, over time, lightweighting of bottles or lightweighting of caps and also looking at our secondary packaging can be very important and very helpful as we learn how to more effectively optimize the EPR impact, but also continue to provide packaging that consumers find useful and usable. But obviously, then what it's also doing is helping us on our journey of delivering against our sustainability KPIs as well. So we're embracing the challenge, but obviously, we're also learning exactly how the tax works along those manufacturers. As for Indonesia, so just in case anyone else on the line didn't pick it up, there was some social unrest in Indonesia at the very tail end of August and the beginning of September. It was related to housing allowances for MPs and it rather snowballed from there. We obviously triggered our business continuity plan, put it into action. There was minimal disruption to our business. We did actually have our people working from home. So we closed our offices for a period of about 4 working days. Our factories continue to run and our distributors continue to operate. The interesting insight is rather as we have seen with previous events in Indonesia, what it leads to is the shopper actually going to their local open market, I think a wet market rather than a modern supermarket. And so we see a channel switch. And the good news is our distributors are very well placed to be able to support that switch. Our distributors will carry around 7.5 weeks of inventory. So even if we were unable to get some deliveries through, they still have sufficient product in their warehouses to deliver in their localities. So there's minimal disruption. I think in Q1, there's a little bit maybe in our P4 numbers, but all of that will come back in Q2.
Operator: Our next question comes from Damian McNeela from Deutsche Numis.
Damian McNeela: Two from me, please, this morning. Firstly, U.K. washing and bathing seems to be growing at around about 2%. Can you provide a little bit of insight into both the consumer experience of the category and also the competitive dynamics that you're managing at the minute, please? And then the sort of the last question is around marketing spend. And I think it was held broadly flat this year. What are your sort of expectations for the current year? And also to what extent is AI being used to try and optimize your marketing spend as well, please?
Jonathan Myers: Damian, so I'll pick up a little bit on the washing and bathing category dynamics. Sarah can talk a little bit about M&C spend expectations, and I'll then come back with AI and how that can help us optimize and drive higher return on investment. First of all, I think probably in keeping with other consumer categories in the U.K. retail environment, we are seeing an increasingly competitive category of washing and bathing. There's growth to be had. There's still some growth in the market. So it's still an exciting and interesting segment of the market to be playing in, absolutely, particularly if you've got strong brands and strong relationships with the retailers and good go-to-market capabilities. But there is no doubt there is a significant tranche of shoppers, not all, so I don't want to generalize, but a significant tranche that is seeking value. And that's where it collides a little bit with where you're asking about competitive dynamics because we're also seeing some of our competitors, and you will be able to work out from their own comments, which ones I'm talking about, who are trying to rebalance for themselves a focus on value versus volume and perhaps they've been chasing value too much rather than volume. So how is that manifesting itself? There's no doubt there's still an awful lot of people that are interested in shower gels that sell at GBP 1 or less. So we need to make sure that we have pack sizes and promotional price points are absolutely delivered for that. But what we're also seeing is an increasing intensity in the competitive environment on larger pack sizes, and in particular, 500 and 600-milliliter bottles. So whereas in the past, they may have been relatively unpromoted versus the smaller circa GBP 1 price point bottle, you're now beginning increasingly to see quite a lot of price promotion on 500 mL and up [indiscernible]. So we are absolutely sharpening our pencil. We're absolutely trying to respond. It's always a little bit of a lag, as you know, in planning promotions based on the retailers' promotional calendars. But as we move through this year, we will be trying to make sure that we are responding to not just competitive pressures, but also how shoppers are evolving too. So as I say, very interesting subcategory to play in, but very competitive too.
Sarah Pollard: Damian, let me address the M&C -- sorry, Damian, you come back.
Damian McNeela: No, I'm just saying thank you, Sarah. So yes, brilliant.
Sarah Pollard: Thank you, Damian. Let me talk to M&C then. So you're right in terms of the FY '25 margin bridge that we shared this morning. Effectively, what we're saying is that there was no positive contribution to our margin performance in FY '25 from M&C. Or the other way of putting that is we grew our marketing spend in line with our revenue growth, which is actually a good thing. So we probably shouldn't in reality, color code it red. What we've not done and what we won't do is either set internally or guide externally to a set of prescriptive marketing spend targets, either in absolute terms or with reference to our overall revenue because our brand portfolio is so diverse. So Cussons Baby, as Jonathan referenced being sold in wet markets through distributors in Indonesia has a very different support model in terms of the levers of profitable growth than will a St. Tropez being sold in the U.S. So what we do, do on a case-by-case basis is work out a level of sufficiency for each of our brands. And then with increasing scrutiny and data capability, and maybe Jonathan will touch on that as part of the AI topic, really understanding whether that M&C delivered incremental return or not, and if it doesn't move it or optimizing it. But I think what you should be very certain of is the overall direction of travel to underpin our brand building ambition will be a net increase in marketing investments. And if I think about the GBP 5 million to GBP 10 million of overhead cost savings that we're committing to in FY '26, where we talk about reinvesting a portion, marketing investment will absolutely be the #1 candidate on that list for investment, Damian. So hopefully, that answers the question.
Jonathan Myers: I'll pick up on the AI part. My flip in response to you, Damian, having known you for a few years, I can say [indiscernible]. So what I mean by lemons is if you look at that Nature Hits Different campaign on the side of the bus I talked about earlier, those very first graphics were actually AI generated. So we are trying to embrace artificial intelligence and how it can help us. I'll come on to some other ways in which [indiscernible] actually AI can help us in the core elements of brand building and as fundamental as generating the graphics, which in that particular campaign, we were able to test and modify and then ultimately bring to market, whether that was on boring old traditional TV or much more interesting and exciting social media. So that's a good example of where we have been developing campaigns using artificial intelligence. But somewhat more fundamentally, as a company, we are also spearheading the use of data analytics and artificial intelligence in how we can improve revenue but also optimize processes and save some of the cost involved with that. So as part of forming a partnership with Microsoft on the Microsoft Fabric platform, we have been exploring, for example, how we can more effectively use our market share data to drive market and consumer insights to help us unlock opportunities for the future, but also how we can optimize our pricing and promotion planning a little bit in that whole area of revenue growth management, but also tackling some of our processes to optimize some of those, not least some of our financial forecasting process internally. So we'll have more to say on that in the future. I don't want to say we're just scratching the surface. It's not that we're doing nothing, but we do see that AI has an opportunity and a part to play for us in the future.
Operator: Thank you. With that, that concludes the Q&A portion of today's call, and I'll hand back over to Jonathan Myers for some closing remarks.
Jonathan Myers: Thank you, Drew. Thank you to everyone who's called in today and those who asked questions. Hopefully, you've got a sense of we are hard at work. There's plenty done, but we are firmly on the ground. We have plenty more to do, and we have a lot to get on with. So that is what we are going to go and do and ask for all of you in the U.K. as you go shopping in the next few weeks and you see our Christmas gift sets on the shelves, make sure you pick one up and put it in the stocking for someone in your family. And we'll thank you next time we talk. Bye-bye.
Operator: Thank you all for joining. That concludes today's call. You may now disconnect your lines.